Operator:
Nathan Ryan: This meeting is being recorded. Good morning and welcome to the Perseus Mining Investor Webinar and Conference Call. [Operator Instructions]. I'll now hand over to Perseus Mining Managing Director and CEO, Jeff Quartermaine. Thank you, Jeff.
Jeffrey Quartermaine: Thanks, Nathan, and welcome, everybody, to Perseus Mining's webinar to discuss our March '22 quarter report. Today, I'm joined on the call by several of the members of my senior management team, including Lee-Anne de Bruin, Finance; Paul Thompson, Business Growth; and Jessica Volich, Sustainability. Our COO, Chris Woodall is currently in West Africa, where the time difference is a bit unsuitable to join the call, but he and his team have briefed us very well in advance in any event. What's planned for today is to provide business with a brief presentation on what Perseus has achieved during the March quarter, as described in some detail in the report that was released to the market earlier this morning, and then to follow that up with a Q&A session to address any specific issues that aren't clear either from the report or my presentation. I'll keep the presentation reasonably short as all the details that you need to fully understand the progress that we've been making are fully documented in the market release. I would, however, like to highlight a few key points though before inviting you to ask questions during the Q&A session at the end, and either I or one of my colleagues will be only too happy to respond to those queries. Now the risk of sounding somewhat repetitive on our quarterly webinars, it is once again very pleasing to be able to report that Perseus continued to set new operating performance records during the quarter just past. In the March quarter, Perseus produced 130,523 ounces of gold, 2% more than in the December quarter and 16% more than in the September quarter. Our weighted-average all-in site cost decreased by a further USD 26 per ounce or 3% to USD 908 an ounce, and that was based on a production cost of USD 789 per ounce. Now as listeners would be aware, our reduction in all-in site cost runs counter to the industry-wide trend of rising costs that applies right across the globe at the moment and particularly here in Australia. Now during the quarter, 2 of our 3 mines, namely Yaouré with 96,921 ounces and Edikan with 38,590 ounces improved their performance relative to the prior quarter. Sissingué, our smaller Ivorian operation went backwards slightly, producing 15,012 ounces, as we expected it would, due to processing lower-grade material this quarter, entirely predictable based on the mine plan. Now that said, all 3 mines performed well relative to our internal KPIs such as run time, throughput rate recovery and head grade. And improvement, particularly at Edikan is ongoing, where we've seen marked improvements in head grade and reconciliation in the month of March and continuing in April as we've accessed the main orebody below areas impacted by prior cutbacks in the AG pit. So that's looking fairly good. Looking to the future. Our market guidance for the June '22 half year in terms of production and costs. That was 230,000 ounces to 265,000 ounces at an all-in site cost of USD 915 to USD 1,085 per ounce. That remains unchanged. And this should translate to production of 471,000 to 506,000 ounces of gold at an all-in site cost of USD 932 to USD 1,020 per ounce for the full fiscal '22 year. Now obviously, our March results have set us up very well to deliver as guided. I'm also happy to report that the strong performance has continued in this current month of April, which all bodes very well for the current quarter. I should note, however, that later in this quarter, this current quarter, at Edikan, we will be undertaking a period of scheduled preventative maintenance on the plant. The Edikan plant's been operating since late 2011, so it's time to do a major overhaul to ensure that we can continue to operate efficiently, particularly if we extend the mine life as planned following the discovery of the new satellite deposits at places like [indiscernible] I'll talk about that later on. The fact is the planned shutdown is factored into our market guidance that I mentioned a moment ago, so there's no concern on that front for investors. In fact, as I said to someone the other day, investors would be entitled to be more concerned if we didn't perform preventative maintenance than if we do. So nothing to see there. I should also note that in conducting all of our mining and exploration activities, we've continued to do this in a manner that it's in line with sustainability standards that we've adopted and the targets that we've set ourselves in line with these globally accepted standards. Now the exact metrics of our ESG performance are documented in full in our quarterly report. However, it's worth highlighting just a few of these on this call. So looking at safety first. Perseus' record of 0 fatalities across the operations was maintained during the quarter and safety performance, as measured by our TRIFR has improved from the previous quarter across the group. It's also worth noting that at Sissingué they celebrated 1,000 days without a recordable incident during the quarter. So it's good effort there. Now on the social front, Perseus' significant economic contribution to our host countries of Ghana and Côte d'Ivoire, has continued and for the financial year-to-date, it's amounted to around USD 369 million or about 60% of our revenue. This included approximately $281 million paid to local suppliers, representing about 86% of our procurement, $28 million paid to salaries and wages to local employees, $60 million in payments to government as taxes, royalties and other payments and around $800,000 in social investment outside of mandated contributions. Local international employment has been maintained at above 95% for the quarter. It's actually running at about 96%, I think. And our gender balance across the group is 13% female, 87% male, which given the industry in which we operate, but more particularly the cultural orientation of our host countries, is reasonable. I should note that in our Australian office, in our corporate office here in Perth, the female-male split of our employees is 33 to 67. And in our senior management team, it's 40-60. Same industry, but different cultural orientation, as I said, and that is relevant when looking at those sort of statistics. Environmentally, our Scope 1 and 2 greenhouse gas emissions remain steady. And in fact, emissions intensity per ounce of gold produced reduced slightly due to the higher production. Following interest from additional vendors and completion of the new Yaouré mine plan, Perseus is in the process of updating our valuation on potential use of solar at the Yaouré operation as part of our standby arrangements. Should the outcome of this review be positive, then further detailed studies will be carried out ahead of potential implementation. I should also say that we've experienced 0 environmental events or any significant tailings dams integrity issues during the period across the entire business. So on the ESG front as a whole, we're performing relatively well relative to the -- to our peer group and continuing to incrementally improve our performance relative to our internal standards. Now turning to financial matters. By selling our gold at an average price of USD 1,701 per ounce this quarter, we've generated an average cash margin of about USD 793 per ounce. It's roughly a bit over AUD 1,060, I think it is. And that's resulted in notional operating cash flow of USD 104 million for the quarter, that's about $10 million more than in the December quarter. And this totals about USD 275 million for the first 3 quarters of this financial year. Now of this amount, about -- more than 90% of it was generated by the Ivoirean businesses with the balance coming from our Ghanaian operation. Now to illustrate the strength of these cash flows and in doing this so, I do stress that these are a function of gold price that we don't control as well as production and costs that we do control to a large extent. I note that since Yaouré started operating commercially on the 31st of March 2021, we generated a total of about USD 246 million in notional cash flow from the mine. Now the total capital cost of developing the mine and associated infrastructure was a little less than USD 265 million. So at current rates of cash generation, another month of operating cash flow should cover the full capital costs of the mine and infrastructure. And while we need -- still need to pay off the acquisition price, I think it's reasonable to say that the purchase of the acquisition of Amara Mining plc in 2016 and the subsequent development of the Yaouré mine has proven to be a very attractive investment for Perseus. Now our net cash in bullion on hand at the end of the quarter, after deducting our corporate debt of $50 million, amounted to USD 228 million, which meant that our gross cash and bullion balance amounted to USD 278 million at the end of the quarter, and that was an increase of USD 66 million during that period of time. Now looking to the future. During the quarter, we invested USD 14 million in organic growth activities and a further $20 million on acquiring an initial 15% interest in Orca and also making a $5 million loan to the company. These investments are a precursor to the Orca takeover that was announced in late February, but more of that later on. In total, USD 34 million has been spent on business growth activities. In addition to this, we also have paid all manner of taxes and government charges, funded a range of social programs for host communities, paid corporate overheads, et cetera, before arriving at that net cash and bullion balance. Now speaking of business growth activities during the quarter, as I said in February, we announced we had entered into an arrangement agreement with Orca Gold Inc. to acquire all of the outstanding shares in that company that weren't already owned by Perseus. Now subject to our offer being accepted by Orca shareholders, and we believe that this will be the case, we will have acquired Orca for a combination of USD 15 million in cash, plus 9.1% of the expanded equity in Perseus. So all up roughly USD 170 million of consideration based on the share price at the time of the offer. Now in return for that, what Perseus receives is a robust, fully licensed Block 14 Gold Development Project that's located in a supportive mining jurisdiction of Sudan, and that's capable of being developed into a large-scale, long-life mining operation. And in addition to that, we've also picked up a 31.4% interest in Montage Gold Corporation, which is the owner of the Koné deposit, a second potentially large-scale long-life gold mining operation. And it's located approximately 150 kilometers south of Sissingué and Northern Côte d'Ivoire. Now at a general meeting of Orca's shareholders, which is scheduled to be held -- is scheduled to be held on the 16th of May. So not far away. And now assuming that the requisite approvals are obtained at the meeting, completion of the transaction is expected to happen on the 19th of May when all of the Perseus shares, et cetera, will be issued to Orca's shareholders. Now in anticipation of a favorable vote at that meeting, both Perseus and Orca's management teams have been working very closely together to plan the integration of the 2 companies to enable activities directed at advancing the development of the Block 14 Project to commence in the September '22 quarter. Now some people have asked me to explain the rationale for this transaction because in hindsight it seems like such an obvious and an outstanding candidate for acquisition. The answer is simply this, we needed to address 2 apparent shortcomings of Perseus, and the Orca acquisition has done just that. So in summary, our ore reserve inventory at the time of acquisition was about 3.5 million ounces of gold. And this is somewhat smaller than our -- some of our peers. And as a result of this transaction, and assuming Orca's NI 43-101 compliant ore reserve estimate is accurate as we believed that it is, our reserve inventory will almost be double from the Block 14 project delay, and this completely ignores any possible contribution from Koné. And it also ignores the likely first-mover advantage that will accrue to Perseus being the first large-scale miner in a very, very rich mineral province that exists within Sudan. Now secondly, our average mine life is relatively short compared to some of our larger peers. The Block 14 mine is expected to last for at least 14 years. So we're adding materially to the mine life and the quality of our asset portfolio. Similarly, if Koné can be proven to be economically viable and if we can be involved in its development, it's also potentially a long-life operation. There were a few ifs in that statement, and I think that needs to be noted that that's not a certainty. Some people have observed that Sudan is relatively high-risk jurisdiction. We beg to differ on this. But even if it was the case, we've now spread our risk across 3 different jurisdictions. A, we're not exposed to a single country or a single event. And in any case, our view is that the rewards associated with the Block 14 Project in particular and our presence in Sudan far outweigh the risks of the jurisdiction. Also, as announced recently, that we had through a means of organic growth based on exploration success made some very strong progress towards being able to sustain the sort of production levels that we're guiding for the next half out towards the end of the decade. We've recently made 2 separate market releases on this subject that give substance to that ambition, one related to the drilling at Yaouré, the CMA Underground, and the other related to the resource definition drilling that we've been doing in Nkosuo, which is just adjacent to the Edikan plant. Now I'd suggest that listeners who would like more detail, take a very close look at those market releases that were published on consecutive days on the 13th and 20th of this month of April, respectively, as they contain far more detail than I can possibly hope to summarize in a few minutes on this webinar. So look, in conclusion, as I said at the start of the call, the March '22 quarter has been yet another very good quarter for Perseus in many respects. Our gold production profile is solid at a rate of 125,000 plus ounces per quarter. In fact, it was a bit more than that at 130-odd thousand this quarter. But what it translates to is an annualized rate of 500,000 ounces of gold per year. And our costs are decreasing relative to the global trend. And we're managing our business successfully. And financially, we're getting stronger by the day. We have some excellent growth opportunities in front of us. But as importantly, we have a team to successfully execute and unlock value, as we have demonstrated many times in the past and continue to demonstrate. The equity market seems to be getting more comfortable with our achievements and our trajectory towards becoming one of the leading mid-tier African gold companies as evidenced by a fairly solid share price in recent times. I mean, obviously, that's helped by the strong market for our product, although I gather that's weakening a little at the moment. But in any event, it has been a very good quarter, as I said, and thank you very much for your attention today. This is the end of my presentation, but now my colleagues and I are happy to take any questions that you may have. Thank you very much.
A - Nathan Ryan: Thanks, Jeff. [Operator Instructions]. Your first question comes from Patrick Collier at Credit Suisse. He's asked, at Yaouré, costs were guided to increase this half. Instead, they've improved slightly this quarter. Can you please comment on what may have surprised you and any key factors for the coming quarter?
Jeffrey Quartermaine: No, nothing surprised us. I mean I think possibly the cause of that may have been a -- we did some maintenance a little earlier than we were originally planning. So nothing has really surprised us at all. It's been pretty much steady as it goes. And very fortunately, that's continued into this current quarter where Yaouré is having an excellent month of April. So we're very pleased with the way that's going. And we're looking forward to being able to define the updated reserve at Yaouré, taking into account the underground exploration success we've had and also publishing an updated life of mine plan that will probably come out in the September quarter, I think, and that, for the first time, will include production coming from an underground operation. So looking forward, no real surprises. It's traveling pretty well.
Nathan Ryan: Your next question is from Kate McCutcheon at Citi. She's asked, can you please recap the timeline for the Orca integration, timing on the studies for Block 14, development decisions, potential timing on breaking ground, et cetera?
Jeffrey Quartermaine: Yes. Okay. Well, look, as I said, the transaction is voted on 16th, should be completed on the 19th of May. What we intend to do is to get on the ground and start drilling as soon as you possibly can. We've got a tender out at the moment with 4 drilling contractors offering prices for drilling. So that drilling is to -- is targeting 2 things. One is sterilization drilling around the pit just to make sure we don't put the plant on top of an orebody. And secondly, we believe that with some further infill drilling, we can materially increase the size of the in-pit resource and, therefore, the reserve.  So those activities will be going straight away. In parallel to that, we'll be starting the various engineering studies that are needed to come up with a definitive plan. And broadly speaking, we're looking at a full development decision around the middle of next year. Now I think in the interim period, we most likely will start some early works. We would like to start some work on the nearby bore field and pipeline from the bore field so that when we do start moving forward with construction, we've got an ample water supply available to us. So it's looking pretty good. We'll be heading to Sudan later in the month of May, and we'll be having -- starting to have a very serious look on the ground, at logistics and capacity in country, et cetera, et cetera, to get the project moving forward fairly quickly.
Nathan Ryan: Next question is, what is driving the higher mill throughput rates at Yaouré? And is this likely to continue in the future?
Jeffrey Quartermaine: Well, it's not likely to continue rising, let's just say that much, but it is -- like I said it boils down to a couple of things. One is the type of material we're processing. Also, I guess, over a period of time, we've become more adept at running our plant. We were always expecting to have improved throughput rates as we went through the first 12 months of production. And as I say, that's what we're achieving. But no, it's not going to keep going up forever. It will probably settle around these levels, I would think.
Nathan Ryan: Your next questions are from John McDonald at Euroz Hartleys. He's asked if you could give some detail on the timing of the Fimbiasso ore delivery.
Jeffrey Quartermaine: Sorry. Which one is it?
Nathan Ryan: The F-I-M-B-A-S-S-O.
Jeffrey Quartermaine: Fimbiasso. Sorry.
Nathan Ryan: Fimbiasso. Sorry about that.
Jeffrey Quartermaine: Sorry. A bit confusing. Look, that's -- we're starting work down there at the moment with grade control drilling. So probably later this year, we'll be starting to do some mining activity. So that's all scheduled into the plan that we released the other day on the -- actually, I should have mentioned that, I guess, we did release an updated life of mine plan on the Sissingué operation, which has extended the life of that operation out to 2026. Now that includes mining ore from Sissingué. And as John has pointed out from the nearby Fimbiasso deposit. And then we'll move down to the Bagoé deposits that are a little further afield during that same period. What we have done with that mine plan is we've changed it a little from what we were originally looking at where we were looking at doing it sequentially. What we've realized is that we need to mine them all with overlaps and then to blend the ore through the mill to make sure that we've got sufficient mill feed at all time to keep the plant full. And that is an issue, when you're hauling in Northern Côte d'Ivoire, because we do have a period of wet weather each year and movement over the roads is not certain. So we will be starting at Fimbiasso fairly shortly. And as I said, the grade control drilling, I think we started this week actually or last week. So we're -- that's getting advanced.
Nathan Ryan: And your next question from John is regarding the company's hedging policy. He's asked now that Perseus is net cash positive. Is there any reason for increasing hedging in the current environment?
Jeffrey Quartermaine: Yes. Well, I mean, our policy is to manage risk as professional managers and the gold price risk still exists. It can go up, and it can go down. So we are doing that hedging. And at the present time, we're hedged to the tune of about 385,000 ounces at an average -- weighted-average cost price of $1,805 an ounce. And that represents about 23% of our forecast production over the next 3 years or thereabouts. Now as to doing further hedging, I mean, we don't have any ambition to extend beyond our policy, which allows us to do up to 30%. But there are times when this makes complete sense, and we have done some recently when the gold price was pushing up around $2,000 to cover a period of time when we're actually stripping the Fimbiasso pit. I mean, John, you asked about the Fimbiasso pit. There's a lot of waste stripping that's needed there. So that naturally increases the all-in site cost. By hedging at these current levels, what we've done is we've locked in a margin of $600 to $700 an ounce. And I think that, that is a fairly prudent use of hedging to make sure that even when you do go through a high-cost period for one reason or another, you can still generate significant cash margins and still generate significant amounts of cash flow, irrespective of what happens in the gold market, which quite clearly we don't control.
Nathan Ryan: Jeff, there are no further questions at this time. So I'll now hand back to Jeff for closing remarks.
Jeffrey Quartermaine: Okay. Well, look, thanks, Nathan, and thanks, everybody, for attending and listening. And thanks to my colleagues for patiently participating in the call as well. Look, it has been a good quarter. As I said, we're very happy with the way everything is operating right across the business, and we're looking forward to continuing to deliver in line with our guidance and delivering good outcomes for all of our stakeholders. So thanks very much. We will talk again in a quarter, in three months' time, if not before. Thank you.